Operator: Good morning, everyone and welcome to the Intercontinental Exchange First Quarter 2018 Earnings Conference Call. All participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please also note today's event is being recorded. And I'd like to turn the conference call over to Warren Gardiner, Vice President of Investor Relations. Sir, please go ahead.
Warren Gardiner, CFA - Intercontinental Exchange, Inc.: Good morning. ICE's first quarter 2018 earnings release and presentation can be found in the Investors section of theICE.com. These items will be archived and our call will be available for replay. Today's call may contain forward-looking statements. These statements, which we undertake no obligation to update, represent our current judgment and are subject to risks, assumptions and uncertainties. For a description of the risks that could cause our results to differ materially from those described in forward-looking statements, please refer to our 2017 Form 10-K. In our Earnings Supplement, we refer to certain non-GAAP measures, including adjusted income, operating margin, expenses, EPS, EBITDA and tax rate. We believe our non-GAAP measures are more reflective of our cash operations and core business performance. You'll find a reconciliation to the equivalent GAAP term in the earnings materials, and an explanation of why we deem this information to be meaningful as well as how management uses these measures in our Form 10-Q. When used on this call, net revenue refers to revenue net of transaction-based expenses, and adjusted earnings refers to adjusted diluted earnings per share. Please see the explanatory notes on the second page of the Earnings Supplement for additional details regarding the definition of certain terms. Also with us on the call today are: Jeff Sprecher, Chairman and CEO; Scott Hill, Chief Financial Officer; and Ben Jackson, our President. I'll now turn the call over to Scott.
Scott A. Hill - Intercontinental Exchange, Inc.: Thanks, Warren. Good morning, everyone. And thank you for joining us today. I'll start on slide 4 with some of the key highlights from our first quarter. 2018 is off to an excellent start. ICE's consolidated first quarter net revenues increased 5% year-over-year to a record $1.2 billion. Data services revenues were $520 million and grew 6% organically. Trading and clearing net revenues increased 11% to $596 million. This solid revenue growth was supported by operating expenses which totaled $494 million for the quarter, slightly below our guidance and down 1% year-over-year. Our revenue growth and expense management generated adjusted operating margins of 60%, up 3 percentage points, and adjusted operating income of $731 million, a 9% increase over last year's first quarter. Looking to the second quarter of 2018, we expect adjusted operating expenses to be in the range of $500 million to $510 million, including a full quarter of 2018 compensation changes and the anticipated ramp up of key investment. For the full year, disciplined expense management has mitigated the continued pressure of the weaker dollar even as it benefits our revenues, allowing us to lower the high-end of our expense guidance to $2.040 billion from $2.050 billion. During the first quarter, our bottom line also benefited from another solid quarter at MERS. We have nearly completed our work to deliver the new technology platform that will enable the next phase of our strategy to support automation in the mortgage market. We also received a $15 million annual dividend related to our 10% stake in Euroclear, a nice early return on investment. And in February, a member of our executive committee joined the Euroclear board. Our first quarter adjusted tax rate of 23% benefited from stock vesting in the quarter but was negatively impacted by some unintended consequences of U.S. tax reform related to federal and state taxation of our foreign income. 5% revenue growth, 9% adjusted operating income growth, and a lower adjusted tax rate combined to generate record adjusted earnings per share of $0.90, up 22% from the first quarter of 2017. Additionally, we generated operating cash flow in the first quarter of $573 million. We've used that cash to repurchase nearly $400 million of stock year-to-date through April, and to return $140 million through our first quarter dividend. All that adds up to more than $0.5 billion of capital returned to our shareholders through April, a 28% increase from the same time a year ago. And importantly, adjusted for the benefit of the recent federal tax law change, our ROIC improved by 30 basis points from the fourth quarter and remains well above our cost of capital. Now, please turn to slide 5 where I'll discuss the data and listing segment. Data services revenues were up 6% organically year-over-year. Adjusted margins in the data and listing segment increased by 3 percentage points to 52%. Within data services, pricing and analytics revenues were up 6% organically and signings were up 20%, driven by continued strong performance in our pricing and reference data services. Exchange data grew 3% organically in the quarter. This growth was driven by exchange data related to our futures business which was up 4% year-over-year. Importantly, current growth in our futures exchange data has often proven to be a leading indicator of future growth in trading in our markets. And finally, desktop and connectivity revenue was up 10% organically driven by rising demand for our global connectivity solution reflected in a 14% increase in capacity. Turning to listings, revenue increased 6% organically year-over-year. The NYSE posted its best first quarter for IPOs since 2011, raising over $10 billion in proceeds through 22 offerings despite a number of spikes in the equity market volatility during the period. Let's move next to slide 6. In an effort to provide more transparency and help with the modeling of our data business, we're providing you with incremental detail around our annual subscription value or ASV. ASV provides a point in time snapshot of subscription revenues under contract. And while it does not include revenue from products such as a consolidated tape or future signings, erosion or price increases, at around 90% of our business, it is an important metric to consider as you think about the forward momentum of our data services franchise. At the end of the first quarter, our ASV stood at nearly $1.9 billion and when adjusted for M&A and currency impacts, ASV is up 6.5% year-over-year which is an acceleration from 6% growth entering the year. This supports our continued confidence in our ability to deliver 6% to 7% revenue growth in 2018 and to achieve our long-term target of mid to high-single digits. That confidence is further supported by the 20% growth in pricing and analytics signings and 14% increase in network capacity I previously mentioned. Turning to slide 7, I'll provide an overview of our trading and clearing business. Trading and clearing revenue increased 11% year-over-year in the first quarter. Total ADV increased 4% year-over-year supported by continued strength across our oil franchise including record Gasoil volumes. In addition, we had solid contributions from our Ag, interest rates and equity index offerings including a record sterling and MSCI volumes. Cash equities and options also posted good first quarter volumes, as volatility returned to equity markets. Our CDS clearing business generated record revenues of $42 million in the quarter as a semiannual roll combined with volatility and demand for credit protection led to a record $4.7 trillion in cleared notional. This strong revenue performance helped expand adjusted segment margins to 68% and generated a 12% increase in adjusted operating income compared to the prior year. I'll wrap up on slide 8 with some additional color on our volume trends. In our oil business, building on the momentum of a strong first quarter, average daily volume in April was up 7% year-over-year led by continued strength in Gasoil which was up 36% from the prior year. Gasoil continues to benefit from an expanding diesel market, particularly in Europe and Asia. The benchmark is also increasingly being adopted as a proxy for the refined barrel, providing a liquid and efficient tool for hedging a range of related products. In addition, Brent ADV was up 5% year-over-year in April and open interest once again reached record levels during the period. Year-to-date, Brent volumes are up 3% year-over-year despite realized volatility trending nearly 20% below levels from a year ago. In our natural gas complex, we continue to see commercials gravitate towards our regional markets while realized volatility levels are at historic lows, suppressing the need for commercial hedging, growth across our basis markets has been strong, with futures open interest up 19% year-to-date which helped drive record open interest levels in our North American natural gas markets. Strength across our key financial products has also continued into April. In our rates business, sterling volumes were up 16% year-over-year. After a slower start to the month, volumes accelerated, nearly doubling the pace set through the first half of the month. And while Euribor volume growth has been impacted by significant outperformance in March and April of 2017 related to European political uncertainty, participants continued to position their portfolios for dynamic central bank policy in 2018 and beyond whether related to the ECB, the Bank of England or the Fed, individually or collectively. In addition, our FTSE and MSCI equity index ADV was up 7% for the month as volatility levels continue to be elevated versus the prior year, and customer engagement in non-U.S. equity markets continues to grow. So, to summarize, we delivered a strong quarter and are off and running again in 2018. Mid-single-digit revenue growth alongside strong expense control produced 9% growth in adjusted operating income, early and positive contributions from our recent strategic investment, our capital return priorities, and an improved tax rate further enhanced our earnings growth and yielded a 22% increase in adjusted earnings. And our commitment to executing on our strategic priorities, innovating to serve our customers, and generating positive economic value for our shareholders continues to deliver strong results. With that, I'll turn the call over to Jeff.
Jeffrey C. Sprecher - Intercontinental Exchange, Inc.: Thank you, Scott, and good morning to everyone on the call. I'll begin on slide 9. We've just highlighted a number of secular trends and our strong execution to capture those trends. Our efforts translated into record adjusted operating income, record adjusted earnings per share, and the strength and diversity of our global markets produced record futures volume that resulted in double-digit revenue growth along with solid growth in our cash equity and options markets. Coupled with strong data and listings performance, we expanded margins, generated solid cash flows, and have returned over a $0.5 billion to shareholders through the end of April. While we're pleased with this performance, our focus is 100% on future growth opportunities, which means strategically creating more value for our customers and our shareholders. The breadth and depth of each of our business lines uniquely positions us to lead and to innovate across asset classes and workflows for our customers around the world. We spoke to some of the ways that we're leveraging our global infrastructure at our Investor Day last year. These include our growing index business, our expanding bond platform based on our expertise in supporting markets as they seek automation and technology and our valuable SFTI network. Today this network has evolved well beyond its original capability, as a secure market infrastructure and grown into an expanded platform known as the ICE Global Network which encompasses vast content and connectivity solutions. So turning to slide 10, I'll update you on our growing range of assets and our progress in the index space. The shift towards indexation and passive investing in equities and fixed income has resulted in active managers demanding more data and richer analytics to better understand their benchmarks and to deconstruct market performance as they search for alpha. At the same time, passive managers are seeking more control and flexibility in terms of how they innovate and differentiate their offering. Our customers have shaped our approach to this rapidly-expanding market in a unique way, and they've enabled us to distinguish our services based on their evolving needs. So, while we offer traditional index licensing services and fund managers and ETF sponsors can choose to benchmark to our proprietary indexes under a traditional fee model, we've also become a leader in serving the growing demand for self-indexing services. We're uniquely able to pursue this multi-prong approach, particularly in the fixed income markets because we own the underlying content, as well as the building blocks and the crucial services that go into creating a benchmark. ICE's historical and real-time pricing data, our reference data and our detailed analytics are all key components of index construction. We offer index selection and calculation services. And for ETF sponsors, we operate the leading ETF listing and trading venue in NYSE Arca. So, we've built an open platform where asset managers and ETF sponsors can tailor solutions to meet their specific needs, allowing for customized benchmarks, to enhance and inform risk management or to assist in future product development. We offer complete flexibility, regardless of what managers choose to consume, whether it's an ICE or NYSE-branded index or services around their self-indexing needs. And you are seeing the success of this strategy. Over the past few quarters, we've signed self-indexing agreements with some of the major fund sponsors and we have now established index relationships with 11 of the top 13 ETF sponsors. As a sign of this success, our first quarter index revenue increased 20% year-over-year on a pro forma basis. So, while we're still in the early stages of deploying this strategy, we're executing and we're seeing very encouraging signs of traction within a growing addressable market. I'd like to now move to slide 11. Like a number of the markets that we've helped transform in the past, the fixed income market is held back by many inefficiencies across its trade life cycle and it's a market where buy-side and sell-side are seeking solutions to these issues. Over the past 10 years, dealer inventory levels, which used to be the primary source of fixed income liquidity, declined dramatically. While at the same time the size of the U.S. corporate debt market nearly doubled, the number of fixed income ETFs grew six-fold, and over $1 trillion flowed into fixed income funds in the U.S. alone. And so, with the unwinding of QE policies, market participants are looking for advances in workflow that improve their ability to access information and lower their total cost to transact. We've been aligning our solutions for this transition for some time. Our pricing and reference data is the foundation of our fixed income business, bringing a rich set of content critical to the fixed income trade workflow. Our decades of pricing expertise along with our technology and innovation has combined to lay the groundwork for further product expansion and enhancement, such as with our reference data offering, real-time pricing, indices, liquidity tools and best execution. These products are complemented by an analytics platform that sees nearly $3 trillion of customer assets uploaded each day. This enables us to deliver critical scenario analysis, cash flow modeling and factor-based performance attribution. It provides our customers with a unique window into their inventory and potential trading opportunities. And it's all fueled by our data and can be securely delivered over our ICE Global Network. Our January acquisition of BondPoint brought additional execution technologies and expanded our customer base into underserved markets. BondPoint brought technology such as a click-to-trade protocol that leverages a resting order book, which is similar to our futures and equity markets. Consistent to what we did in the energy markets, this data and liquidity is bringing more efficiency and activity to the fixed income markets, and we'll soon deliver this over the ICE Global Network tapping into a broader community of market participants. In its first quarter, as a part of ICE when coupled to our infrastructure, BondPoint saw average daily notional volumes increase 50% year-over-year, a record for the business. We've also seen a steady growth in liquidity as the average number of bids and offers set a record in the first quarter, up 35% year-over-year. And we've seen rising user participation as we invest and help facilitate more efficiency and growth in this space. And so, as a provider of pre-trade, trade, and post-trade solutions, and as the owner of the underlying content that fuels our tools, we're well-positioned for growth in a growing market. Let me turn to slide 12. The ICE Global Network is a unique offering within the industry. With its roots known as SFTI, its expansion now into the ICE Global Network flexibly serves buy-side and sell-side institutions, data providers, third-party exchanges and clearing houses, traders and market makers. With an unparalleled range of financial market content, including proprietary and third-party data gathered from over 600 unique sources, it serves as a backbone for information flow across global markets. As the markets become more reliant on consuming and analyzing large data sets to manage portfolios, the quality and integrity of data is crucial to wholesale and retail customers. And so, the ICE Global Network distinguishes us as a true provider of end-to-end flexible workflow solutions that connect participants, markets and critical information. Let me conclude my remarks on slide 13. These are just a few of the growth opportunities in front of us. And as you can see, our focus is on differentiated products and services that leverage both our vast infrastructure and our innovative culture. We're driving efficiency and new opportunities for our growing customer base around the world and we've been really deliberate and disciplined in our initiatives to differentiate the value to our customers. We've grown from a small start-up company focused on technology and automation to now a comprehensive provider of risk management solutions across virtually all asset classes around the globe. And with this expansion, the opportunities for our growth have increased, whether it's in data, our commodity and financial markets or how we connect markets to this information. We've never been more focused on driving growth and maximizing the return for all of our stakeholders. Importantly, I'd like to thank our customers for their business and for their trust. And I want to thank my colleagues for their efforts that contributed to yet another record quarter for ICE. I'll now turn the call back to our moderator, Jamie, and he'll conduct a question-and-answer session until 9:30 Eastern Time.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. And our first question comes from Rich Repetto from Sandler O'Neill. Please go ahead with your question.
Richard Repetto - Sandler O'Neill & Partners LP: Yeah. Good morning, Jeff. Good morning, Scott.
Jeffrey C. Sprecher - Intercontinental Exchange, Inc.: Good morning.
Scott A. Hill - Intercontinental Exchange, Inc.: Good morning.
Richard Repetto - Sandler O'Neill & Partners LP: So, I guess the first question is on market data and the 6% organic growth that, right in line with your guidance. I guess, Jeff or Scott, can you talk about is it coming through the buckets that you put out, the different areas of growth that you sort of guided to in the Analyst Day which was 30% I think, pricing and new customers and new products and stuff, but is it coming from those products – those buckets? And then also, if you look at some of your peers, one peer saw actually a pullback in market data, another saw strong organic growth. I'm just trying to see I would imagine your market data is much more differentiated because of the fixed income and the broader foundation you have. But if you could differentiate, I guess, from your other exchange peers and their data offerings?
Scott A. Hill - Intercontinental Exchange, Inc.: Yeah. Okay. Thanks, Rich. So, first of all, yes, broadly, the revenue growth is coming in the buckets that we indicated. As I said at the Investor Day last summer, it's not every year going to be exactly 30% from pricing and 20% from new products, et cetera, but it's generally coming from those buckets. And you get a number of indicators that can demonstrate that. For example, I mentioned pricing and analytics signings was up 20%. That's all about the 60% of the buckets that are new products, and new customers, and selling our existing customers more. So, as we're working to give you guys more metrics, we're trying to give you ones that will indicate where that growth is coming from. And again, signings is a good example. Connectivity is another one where capacity is up 14%. Again, that may be the same customer demanding more capacity or new customers driving capacity. So, we're seeing good contribution from all of those new products, new customers, et cetera. And of course, we are getting some contribution from price as well. And I think all of that leads to not only a good quarter where we delivered the 6% organically, but it builds into an ASV that I mentioned is up organically in constant currency 6.5%. So, I think that's fundamentally what's driving it. I think you're right there seemed to be some issues with some of our peers with regards to their data both sequentially and year-to-year. We actually had a good quarter in exchange data. As I mentioned on the call, we had a really strong futures exchange data growth of 4%. I think one of the things you're seeing in our results, it's certainly what you mentioned, which is the diversity of products that we have to offer. So, we're not subject to any single market. It's not just about natural gas. It's not just about oil. It's not just about the U.S. or Asia. It's not just about interest rates, we've got a breadth of products. But I really think a key difference for us today versus maybe a year or two ago is the nature of our sales team. With the acquisition of IDC, we acquired a really strong sales team, a really good sales leader. And Tim Noble, who you met at our Investor Day, and Chris Edmonds, who runs our Global Commodity Sales, have really worked hard together on cross-selling. So that when we're out talking to customers about IDC's information (00:24:11) or ICE data services information, to the extent there's an opportunity for energy data or interest rate data, we're able to communicate among the sales teams and go execute on that. So it's breadth of data. It's strength of sales team. And then the last thing I would say that distinguishes us is we serve a commercial market. And I mentioned the fact that our basis market open interest is up 19% in natural gas. That's because more people are fracking and more people are working on the shale and those types of initiatives. And those commercials are surrounding our market and in order to hedge their risk they need our data. So, I think it's all of that combined that's allowed our overall data business to perform well and underneath that specifically for our futures and exchange data to grow.
Richard Repetto - Sandler O'Neill & Partners LP: Got it. And I'll try to make the follow-up quick, it probably won't be. But on the fixed income market, Jeff, you've talked about – and thanks for the info in what you've done with BondPoint and sort of your platform behind it. I guess, how do you look at the – overall, you've talked about how distribution is so important. How do you look at it from like an organic or inorganic – if other platforms that had distribution came available, I would – just how would you evaluate? I would imagine it would be a good fit with what you're doing, or do you think you're – you've got the platform and the trading platform combined where you don't have to look at acquisitions?
Jeffrey C. Sprecher - Intercontinental Exchange, Inc.: Yeah. I've got a couple thoughts. First is, we're trying to – the bond market is so big, so global and so analog that there's a lot of touch points for its conversion to digital. One is trading. But as I tried to point out in my prepared remarks, we want to touch the workflow as many places as we can and starting with that data set and the connectivity we have on the ICE Global Network, just helping people with workflow. If we can enhance trading, that would be great, but that's not necessarily our driver. Our driver is where can we touch your workflow, indexation, data, analytics, analysis on the market as a whole, and that's how we're thinking about it. In terms of M&A, I mean, we have kind of a playbook here that you've witnessed for years. We like to buy very small immature companies that we think, are poised for growth where, when we bolt them onto the infrastructure that we have, we can accelerate their growth. That allows us to pay a premium for those companies knowing that just putting it into our network can accelerate that and deliver value for our shareholders even though we may have to pay a premium to buy the business. And then, on the other extreme, we buy legacy businesses that have fallen out of favor, that have sort of lost energy. And we go in and slice and dice them and sell off parts, and reconstruct them, and try to reenergize them again and that's worked very well for us. And so, that broadly speaking we sort of look at the two end points of a company's life cycle, and we do well on both of those ends. It's less obvious to us that buying something in the middle, in other words, that's growing and fully priced, that we can make a difference. So, that's why BondPoint was a very good fit for us. And the fact that it's growing at 50% validated our hope. Similarly buying IDC, which was a very mature company that was growing at 3%, then turning it around now so that we doubled that growth rate validated that point for us.
Richard Repetto - Sandler O'Neill & Partners LP: Got it. Thank you very much. Very helpful, Jeff.
Jeffrey C. Sprecher - Intercontinental Exchange, Inc.: Yeah. Thank you.
Operator: Our next question comes from Ken Worthington from JPMorgan. Please go ahead with your question.
Kenneth B. Worthington - JPMorgan Securities LLC: Hi. Good morning. And I'm going to follow up on that question. So, in terms of fixed income, you've talked about the suite of products, like indexes to ETF listings, to data, to analytics. As the market migrates from voice to electronic trading in fixed income, how does the value proposition in data evolve for ICE and IDC, like where does the value proposition go from and where does the value proposition go to? And to connect this to Tradeweb, should that company fall into a competitor's hands, to what extent does that create a threat for ICE's fixed income data business in the long term? Thanks.
Jeffrey C. Sprecher - Intercontinental Exchange, Inc.: Sure. So, if you think about the move from analog to digital in any market, one of the things that will – or a couple things that will happen will be one, you'll broaden participation because it will be easier to access the market, and you'll likely increase the velocity because there will be an immediacy of your ability to trade in and out of a position. And as you know, there are so many bonds in the world that it's very unlikely that the market will move to a true bid, offer futures-type platform because there are just too many names. And then in each name, you have different tenors. And so, what we think and what we're seeing, and we're all witnessing, is that the more liquid names, the more well-known names, the tenors that are earlier duration if you will and more in favor, tend to be liquid and can trade on a platform. But then you have all this other inventory around the world that just isn't likely to be able to trade on a two-way bid, offer. It's not going to have price transparency. And so, you're going to need daily marks for those names. And we view that we're going to be the provider of those marks. And as the market broadens, as there are more participants and more interest in the market, as there has been by just some of the data that I read in my prepared remarks, we think there are going to be more customers that want to demand that data. So, Tradeweb is in the world right now, to answer your specific question. It's owned by a group of people. If it's owned by a different group of people, I'm not sure it changes anything for us. More importantly, we keep investing in the technology to calculate and deliver more and more accurate off-the-run and difficult names that the market is demanding because they've made their ways into portfolios.
Kenneth B. Worthington - JPMorgan Securities LLC: Great. Thank you. Maybe (00:31:27) a wonky question, but China has launched an oil contract that's gained traction as I think we all expected. And I think in the near term it would seem to be a positive, it creates another arbitrage opportunity, I think as you have discussed in the past. So, longer term, what does this mean for Brent in the context of a market with potentially two viable oil contracts rather than one? I'm not sure it makes a difference, but that's part of it. And it ultimately begs the question, is there a way for ICE to leverage or better leverage the China opportunity directly or indirectly? You've got a suite of commodity and financial products. Can you do better with China? It seems like a big opportunity. Thanks.
Jeffrey C. Sprecher - Intercontinental Exchange, Inc.: Yeah. So, first of all, what's interesting about the China contract that you referenced is that it's a delivery contract. In other words, it's a contract that's priced at the delivery point. That's not the way the benchmarks have worked in oil historically. Brent oil and WTI oil are priced at their source, their production source. And so, the market has sort of grown up with take the benchmark at its production source and then add a basis price to it, which essentially is a transportation and infrastructure price to get the product to its delivery point. So, we obviously trade Brent, and we also have listed a Brent-Dubai basis market and that market is a very active market. We have a competitor that has also a – or a peer at least that has an exchange in Dubai. And so, in any event, there is this sort of notion of, okay, here's what the value of oil is in Dubai. That's largely – now add a transportation and infrastructure component to that price and now you've got the price of oil in China. And so what we see is, as I think you alluded to is that, that China contract is additive to the market. It's one more basis point in a world that is full of basis points. We list over a thousand energy contracts. Most of those are different grades and different delivery points than the benchmark of Brent and WTI. So we think it will be additive. We think it probably will contribute to growth in the benchmark contracts for not just in the short run, but into perpetuity. The second part of your question was we have a lot of Asian oil and petrochemical and commercial customers that come and do business with us in Europe. They've set up trading desks there. They have infrastructure in Europe. And so similarly to the oil, they've come to the source, if you will, of where the trading is. And so we don't expect that to change because those outposts for those Asian companies that are in Europe are being used to hedge all kinds of business and attract talent that would be difficult to attract on to the mainland.
Kenneth B. Worthington - JPMorgan Securities LLC: Great. Thank you very much.
Operator: Our next question comes from Alex Blostein from Goldman Sachs. Please go ahead with your question.
Alexander Blostein - Goldman Sachs & Co. LLC: Great. Thanks. Good morning. Jeff, I want to go back to the indexation trend that you've highlighted and totally hear you on the self-indexation, definitely seems like a pretty big opportunity. Can you guys help us think about kind of the yield that ICE could get on a dollar in fixed income AUM that's going self-index, because it definitely feels like that's the market that's going to grow considerably. And then just maybe a reminder in terms of kind of the royalties you guys are getting on the proprietary indices as well.
Jeffrey C. Sprecher - Intercontinental Exchange, Inc.: Sure. Well, our thought process is that the asset management space is getting more and more and more competitive. And the historical model of – and in doing so, it's getting increasingly concentrated into the hands of larger managers. And those managers are building their own brands. And in the past, a lot of the brands were the brand names that were on the indices. We have a lot of NYSE-branded indices. I mean, that's an amazing brand. And we were able to charge dollars per AUM in order for people to reference those brands. But as the managers themselves form their own brands, what they're finding and what many of them are finding is they can create their own – put their own name on their own index, and it has a lot of power in the market, and they can do that at a price much cheaper because they don't have to pay for the third party's brand. So, what we've done is, as I mentioned, try to create an open platform where we will sell you services on a non-dollar per AUM basis. We have, for example, calculation engines that we can license you under a more traditional software license. We have our own strong brands that we can license you on a dollar per AUM basis. And then, where we've really been working is in the middle, which is let's have some value between the two of us where we recognize the strong brand of the manager, but we also recognize that the data and analytics and index selection and calculation, third-party validation that ICE does also has brand value. And so, let's come up with some lower dollar per AUM or some hybrid model. We have been very open with you, Alex, and also with our customers that we think we can grow this data market at high to mid-single digits. We think it's going to grow like that for quite a while because of the trends that are in the market. And when we sit across the table and negotiate we basically say to people this is the kind of return that we're looking for if you want to do business with us and we recognize you are going to use your brand to go gather dollars in the form of AUM, and we hope that you can gather them at mid to single – high-single digits as well, and in which case there's a deal to be made. And so, that's our strategy. We're not getting greedy. We're trying to work with the managers and it's really been successful. We've really done a very good job, getting 11 out of the 13 top managers onto this platform. And as Scott said, it's helped to drive future contract growth and accelerating our data offering.
Alexander Blostein - Goldman Sachs & Co. LLC: That's helpful. And then, just a cleanup question for Scott. The slightly lower expense guide for the year, obviously despite FX, is that the additional synergies or just the timing of some of the synergies being pulled forward? Kind of what was the delta versus the prior?
Scott A. Hill - Intercontinental Exchange, Inc.: No, it's a good question. We're right on track with regard to the synergies, the $30 million target that we had for this year. Ben, sitting to my left, he and the team are working and will certainly deliver that. We're actually generating some efficiencies in other parts of our business. The two more recent acquisitions, we believe we'll be able to integrate more efficiently than we had originally anticipated. I'll circle you back to where we were coming into the end of the year, one line item I mentioned was that we would have the net of all the M&A and integrated businesses, and FX as about a $15 million expense hurt but covered by over $40 million of revenue and that number has actually come down now. The expense impact is probably going to be only around $10 million, but the revenue is going to be better than $60 million. And again, that's from better integration of the more recently acquired businesses, plus continued efforts at efficiency in our core business.
Alexander Blostein - Goldman Sachs & Co. LLC: Got it. Great. Thanks, guys.
Operator: Our next question comes from Brian Bedell from Deutsche Bank. Please go ahead with your question.
Brian Bedell - Deutsche Bank Securities, Inc.: Hi. Good morning, guys. Let me just get back on data, I guess. For the 6% to 7% growth and obviously also the longer-term mid- to high-single digits, can you talk about growth in Europe and your view on that? It looks like – correct me if I'm wrong, but it looks like the mix of the revenue shifted actually towards the U.S. from Europe quarter-over-quarter. So, I guess, maybe what drove that, if that's correct? And then how are you looking at the MiFID environment and the growth in data customers from Europe versus the rest of your mix? And also, Jeff, you talked about active – increased data usage from active managers in relation to indices, maybe you could just elaborate on that, what they're actually doing?
Scott A. Hill - Intercontinental Exchange, Inc.: Sure. Yes. So, look, I think, with regard to the first quarter and frankly for the year, the European revenues continue to do well and continue to contribute strongly, driven, as you said, by the MiFID II which, as we've indicated previously, even though it's now in place, there are a number of customers still scrambling to come into compliance. And so I think that's not unique to the first quarter. I think it's frankly not even going to be unique to this year. I think it will continue on into 2019 as well. And I think the place you see that even more clearly is if you look at signings. Signings in Europe were up 81% year-over-year. Now, I'm not forecasting that we're going to grow 81% every single quarter, but it is another indication that the sales team and the number of products they have to sell to help customers with MiFID II is really delivering. And so, as the European business will continue to contribute strongly, Asia Pacific continues to emerge and the U.S. just continues to put up solid numbers.
Jeffrey C. Sprecher - Intercontinental Exchange, Inc.: And on the second point, you may recall last year, we bought the bond evaluation business from S&P. It's is a very good transaction for us and that we were able to combine their evaluations business with our evaluations business and create a stronger offering, and then turn around and give S&P back the results which helped in their ratings, improving their ratings capabilities given that they have better underlying data. But that same capability, which is just having better and stronger ability to value fixed income products has particularly gotten the interest of the major asset managers. There's been a lot of growth obviously in ETFs over the last few years, particularly in the equity space. And you're seeing that same trend now move over to putting fixed income and other kinds of assets into the ETF design and they're having really good success. It's a real growth area. And so, in the bond area, we acquired the Bank of America Merrill Lynch bond index portfolio, thousands of indices. So, we have a standard, well-known, well-respected licensing platform that we can use. But we also have all this underlying data, and the ability, and the expertise with a lot of quantitative people that can actually help a manager design an index and figure out how to have an index that will not only be attractive but will be operable in terms of being able to do substitutions and provide end-of-day valuations. And so, that business has done particularly well and, as I mentioned, is attracting a lot of the top managers who are focusing on the non-equity ETF space right now.
Brian Bedell - Deutsche Bank Securities, Inc.: Okay. That's helpful. And then maybe just a question on RPC in energy. Obviously, that's improved nicely into the end of the year, and then it looks like it took a dive in the first quarter but now is back up in April again. So, maybe if you can just talk about what were the drivers? It looks like it's not really mix shift, so I don't know if there's anything else going on underneath there?
Scott A. Hill - Intercontinental Exchange, Inc.: Yeah. Look. I think as you go through some of the more volatile period that you saw in the first quarter that tends to have a bit of downward pressure on the RPC. But again, whether you look at first quarter or April or last year or any given quarter, we're relatively consistent. For energy, I think we're $1.37 in April. You go back and look over time, we've been somewhere between $1.33 and $1.42. So plus or minus a couple cents each year. And I think that's one of the reasons why despite one of our peers where you see the RPC drop off as volumes grow, we are able to maintain volume growth, maintain open interest growth and, most importantly, because it's where the bottom line is made, we're able to maintain our revenue share, which we have consistently done regardless of volumes, and that's through the management of RPC. You're right. I don't think there's a particularly large mix impact in April, although we certainly benefited from Brent being strong and nat gas volumes were down, and that's lower RPC. But I think, generally speaking, it's just us paying attention to the rates. It's us being a more commercial market and not needing to pay for trade flow. And those are the things that have allowed us to be stable.
Brian Bedell - Deutsche Bank Securities, Inc.: Okay. So, is RPC more in line with sort of the most recent trend rather than sort of the sub – lower first quarter for the rest of the year aside from mix?
Scott A. Hill - Intercontinental Exchange, Inc.: I'm not sure I heard your question well.
Brian Bedell - Deutsche Bank Securities, Inc.: No. Just in thinking about RPC trend in energy, would we look at April as a better – April and the fourth quarter of last year as sort of a better guide for the rest of 2018...?
Scott A. Hill - Intercontinental Exchange, Inc.: Yeah. Look, again, plus or minus a couple of pennies in any month or any quarter based on volatility, market participation and products, it could move around. But, yeah, I think again, you look over the last 8, 10, 12 quarters, we're around that $1.37 plus or minus a little bit almost every month and every quarter.
Brian Bedell - Deutsche Bank Securities, Inc.: Got it. Okay. Thank you. Thank you so much.
Operator: Our next question comes from Kyle Voigt from KBW. Please go ahead with your question.
Kyle Voigt - Keefe, Bruyette & Woods, Inc.: Hi. Good morning.
Jeffrey C. Sprecher - Intercontinental Exchange, Inc.: Good morning.
Kyle Voigt - Keefe, Bruyette & Woods, Inc.: Just on the strong other income of $19 million in the quarter, I think you called out $15 million that was a Euroclear dividend. I'm guessing the remaining $4 million or $5 million was MERS and the dividend from OCC. And you called out MERS in your prepared remarks as you're rolling out this new digital infrastructure and investing that business this year. Just wondering if you'd give us some more color on the progress for that business and whether or not we could see more substantial growth in that equity income line from MERS specifically or maybe some step function type growth as the new platform is fully rolled out. Thank you.
Scott A. Hill - Intercontinental Exchange, Inc.: Yeah. Let me start quickly with the wonky and (00:46:43) then I'll hand it to Jeff to talk about the MERS strategy that we're excited about. So, in other income, you're right, we had the $15 million dividend. In that line there are always a bunch of stuff moving around. But just for the rest of the year, there are three things that matter; OCC dividend, the MERS contribution that we take, and the impact of pension expense which moved down into other income this year. And so, as you kind of think about the out quarter, $6 million to $8 million in other income is going to be about the right range. That's $8 million to $10 million from OCC and MERS and a negative $2 million from pension. So, obviously, we gave you that from a model standpoint. We definitely got a good contribution from MERS in the first quarter, and I'll let Jeff talk to you about where we're headed with that.
Jeffrey C. Sprecher - Intercontinental Exchange, Inc.: Sure. So the progress we've made is that we've built essentially an all-new infrastructure for MERS. That infrastructure is running in parallel with the legacy system. And we are now in the process of opening up the new system, if you will, for market participants. There are hundreds of people in the mortgage space that have digital platforms that need to hook to MERS. So it will take some time for the market to spill over into the new platform. But we are deeply engaged with the market participants, particularly major market participants. And we would expect that they, over the summer and into the third quarter, will start to rebuild their systems and connect to the new MERS. That's an – the reason I get into that level of detail, that's an important point because once that infrastructure is all in place, people who are dealing in mortgages will now have a much more robust platform that they can start to change their own workflows and move much more towards a digital mortgage. Some of the early adopters in the space have been engaged with us for quite some time, trying to figure out how they can improve their own internal workflows and engage with MERS. It will be – it's hard for us to gauge specifically how quickly they'll be able to adopt digital mortgages, but it's definitely coming. It's definitely a trend – a macro trend that that has the engagement of the industry because, right now, in the U.S., it's a very, very clumsy market. At the end of the day, mortgages get registered usually locally with some kind of registrar. There are thousands and thousands of jurisdictions that deal with mortgages at the local level. So, it will take a lot of time for local jurisdictions to start to think about digital records and not boxes of paper. But the goal is to try to digitize as much of the workflow, the upstream, the actual homeowner participation, sit in your kitchen, be able to read your mortgage on a screen, be able to click with your signature, and keep all of that underwriting process as digital as possible until we get to the last recordation, in which case it may have to become paper and handed to a registrar. But that's the vision if you will. And we're well on track to deliver our part of it. So, we expect growth, and we've been pleasantly surprised that there's been early adopters that have helped, driven strong results for us.
Operator: Our next question comes from Michael Carrier from Bank of America Merrill Lynch. Please go ahead with your question.
Michael Carrier - Bank of America Merrill Lynch: Thanks, guys. Jeff, maybe first one, just we saw a big kind of improvement in the CDS or the credit business this quarter. And it seems like cyclically we should see maybe more of that. But just wanted to get your guys' sense on is there enough clarity on sort of the regulatory backdrop and how that market's working now versus maybe the past couple of years where we could see more traction just given kind of the changing dynamics in the market?
Scott A. Hill - Intercontinental Exchange, Inc.: Yeah. It's a good question. That business has been on a steady march up since we opened it, and it continued in the first quarter this year. And I think the thing that's probably been the most encouraging over the last four to five quarters, maybe even a little longer than that is that need for a regulatory push into clearing doesn't exist anymore. Customers are coming because they see the efficacy of clearing. And so, when you see a big quarter like the first quarter, where you've got a lot of people looking to cover their credit exposure, you see big notional come into clearing. And the reason it drives the revenues the way it did is because it's not those nine guys that helped us start the clearinghouse back in 2008. It is the buy-side firms. It is the other smaller financial institutions that want that protection, that want to see it cleared in order to have the confidence in their risk management. So, I'm very pleased with how that business has trended. Clearly, it helped that the first quarter was a roll month. So, I don't expect it repeats in the second quarter, but in the third quarter, around another roll, I suspect it will be really solid again. This year, I think we'll continue the trend of that business growing 10% plus or minus a little bit. So, the market dynamics are very good. Customers have seen the efficacy of the clearing model, and the regulatory push isn't really needed anymore for us to grow that business.
Operator: Our next question comes from Vincent Hung from Autonomous. Please go ahead with your question.
Vincent Hung - Autonomous Research US LP: Hi. So, what do you think is your key challenge in claiming more market share of fixed income ETF AUM? And I'd be particularly interested in your thoughts on competition around what you're seeing from the large players like Bloomberg in market (00:52:44) because I recall one of the benefits of Bloomberg's acquisition of the Barclays business for you was the customer preferred the index calculated by IDC data and so then they shifted for the ICE Treasury bond index?
Jeffrey C. Sprecher - Intercontinental Exchange, Inc.: Yes. So, we have, as you pointed out, Vincent, we have competitors in that space, but we're all a little bit unique. And honestly, many of the major managers want to see everybody's information. There's this thirst for information right now that people are consuming as much of it as they can get. So, I'm not sure a lot of our customers necessarily are thinking of us as competitors. They're just thinking of us as a bunch of complementary data providers that can give them the ultimate vision, if you will. But we've done a really good job of establishing our own brand, if you will. IDC was well known, as you mentioned. The Bank of America Merrill Lynch indices were well known. And putting that together under the ICE banner and getting it onto our network has strengthened both of them, and we are a highly viable competitor. We also have very close relationships with a lot of the large managers. We touch them in many, many ways including on ETFs, as you mentioned, in our listings venue. So, we know the people there, we are deeply engaged at many levels of these organizations so that we can talk about their challenges and our opportunities, and that seems to be helping. If you add that index business that you're talking about to the fact that we are working on a complete workflow solution, to plug into these companies and help them at the multiple touch points that they need in the front, middle and back office, help them with regulatory compliance, with MiFID issues and what have you. All of that organically is helping to drive our indices into these organizations and is contributing to that nice, steady, we think, long-term growth that we're going to continue to get from that business.
Operator: Our next question comes from Ben Herbert from Citi. Please go ahead with your question.
Ben Herbert - Citigroup Global Markets, Inc.: Hey. Good morning. Thanks for taking the question. Just wanted to go to the capital return and just how you're maybe thinking about the buyback discussions with the board, just given it was authorized pre tax reform? And then maybe against that, just your capacity on M&A?
Scott A. Hill - Intercontinental Exchange, Inc.: Yeah. So, let's start with the buyback. So, we consistently, obviously, talk with our board about our strategy. And as we go in with them, we're typically talking about best use of capital. And one of the things we do with that is we look at kind of where do the analysts think our price should be, how are we priced relative to the market, and then we've got our own internal model of where we're priced. And right now, frankly, it's a pretty easy discussion with the board that says yeah, go spend every dollar you generate that you don't need for internal investment in M&A on buyback because that's the best return on investment. And you're seeing it. I mean, $400 million, we told you we did $100 million in January. We told you we did $400 million through April. So, you can kind of see the trend. If you run rate that out and add the dividend on top of it, you'll know that it's going to be the most significant capital that we have returned largely in buybacks because that's where we think it makes the most sense. Having said that, the important second question you asked is capacity for M&A. And the good news is we're where we need to be from a leverage standpoint. We're generating really solid cash flows, and we've been able to execute some strategic transactions without dialing back on the buybacks. We did the BondPoint deal and we still bought back shares. We made the investment in Euroclear and we still bought back shares. And so, with the cash generative ability of our company right now, we're not having to pick either or. There will certainly come a time with the right deal at the right moment where we can generate the right return, where we may have to make tradeoffs, but that's not where we are right now. And it's certainly not where we are in terms of allowing us to return over $0.5 billion through April.
Operator: And our next question comes from Chris Harris from Wells Fargo. Please go ahead with your question.
Christopher Harris - Wells Fargo Securities LLC: Thanks. I wanted to ask you guys a follow-up question on the Shanghai Brent contract. You guys rightly point out that the introduction of this definitely creates a new opportunity for traders to go back and forth between your market and China. But how should we be thinking about your commercial customers that are based in Asia? Might this contract lead some of those customers to maybe switch over to the Asian-based contracts or not? Just how should we be thinking about that?
Jeffrey C. Sprecher - Intercontinental Exchange, Inc.: Sure. Well, I mean, if you're an Asian customer that wants delivery of oil in Asia, you have an opportunity to buy that contract. But if you're the producer of the oil, you're probably in the Middle East or in the North Sea or in the United States and you've got to figure out how to hedge that, not only the production but then the transportation and infrastructure to get it into China. And so, remember there's two sides of every trade and what we're seeing is commercial customers that want to service China coming in to these traditional benchmarks and basis contracts and increasing volume. So, I don't expect that this displaces anything. It's kind of a new basis contract of which we have hundreds in the market right now. It's an important one because it represents China, a growing economy. But there are lots of important basis markets in the world and the underlying benchmarks which we happen to trade both of the big oil benchmarks, we'll continue to do well against growth in those basis markets.
Operator: And ladies and gentlemen, at this time, and reaching the end of the allotted time for today's question-and-answer session, I'd like to turn the conference call back over to management for any closing remarks.
Jeffrey C. Sprecher - Intercontinental Exchange, Inc.: Well, thank you, Jamie, and thank you all for joining us today. We look forward to speaking with you in August and that's when we'll report results for the current quarter. Have a good morning.
Operator: Ladies and gentlemen, that does conclude today's conference call. We do thank you for attending today's presentation. You may now disconnect your lines.